Operator: Hello, and thank you for standing by. My name is Mark, and I will be your conference operator today. At this time, I would like to welcome everyone to the EnerSys, Inc. Q2 [ Quarter ] 2026 Earnings Webcast and Conference Call. [Operator Instructions] Now I would like to turn the call over to Lisa Langell, Vice President of Investor Relations and Corporate Communications. Please go ahead.
Lisa Langell: Good morning, everyone. Thank you for joining us today to discuss EnerSys fiscal second quarter results. On the call with me are Shawn O'Connell, EnerSys' President and Chief Executive Officer; and Andi Funk, EnerSys Executive Vice President and Chief Financial Officer. Last evening, we published our second quarter results with the SEC, which are available on our website. We also posted slides that we will be referring to during this call. The slides are available on the Presentations page within the Investor Relations section of our website. As a reminder, we will be presenting certain forward-looking statements on this call that are subject to uncertainties and changes in circumstances. Our actual results may differ materially from these forward-looking statements for a number of reasons. These statements are made only as of today. For a list of forward-looking statements and factors which could affect our future results, please refer to our recent Form 8-K and 10-Q filed with the SEC. In addition, we will be presenting certain non-GAAP financial measures, particularly concerning our adjusted consolidated operating earnings performance, free cash flow, adjusted diluted earnings per share and adjusted EBITDA, which excludes certain items. For an explanation of the difference between the GAAP and non-GAAP financial metrics, please see our company's Form 8-K, which includes our press release dated November 5, 2025. Now I'll turn the call over to EnerSys CEO, Shawn O'Connell.
Shawn O'Connell: Thank you, Lisa, and good morning. Please turn to Slide 4. During the call today, we will provide an overview of our second quarter results, share progress on our EnerGize strategic framework, update you on the latest demand trends we are seeing in our diverse end markets and provide guidance for our third quarter. Please turn to Slide 5. Our performance in the second quarter was strong, with net sales up 8% year-over-year. Earnings growth outpaced revenue growth, driven by favorable price/mix more than offsetting higher costs, resulting in both adjusted operating earnings and EBITDA being up 13%. Excluding 45X benefits, adjusted diluted EPS on our base business was up 15% versus prior year on the higher earnings as well as our lower share count. Our net sales and adjusted diluted EPS both marked new Q2 records driven by strong growth in data center, industrial and A&D. We are seeing positive trends in the majority of our markets, albeit with some lumpiness. Energy Systems led the way this quarter with year-over-year sales growth seen across all end markets, data center, industrials and communications as well as continued margin improvement. Motive Power improved sequentially, but was lower versus prior year as expected on suppressed volumes. Specialty delivered notable performance improvement, nearing double-digit AOE margins on A&D revenue and margin expansion. Free cash flow in the quarter was particularly strong, and we are pleased to return $78 million in capital to our shareholders this quarter through share repurchases and dividends. Please turn to Slide 6. Through our EnerGize strategic framework, we are optimizing our core, invigorating our operating model and accelerating our growth. We are reallocating resources to higher impact projects, and we are focusing on where we have a right to win. We're putting in place the structure that enables our people to focus, specialize and execute with agility and speed. We've made great progress over the past 2 quarters, and I'm excited to update you on these recent highlights. First, the reduction in force actions we announced in July are nearing completion and support our efforts to rightsize the organization. Early benefits are materializing from the $80 million annual cost-saving initiative and the realization of these savings will grow in the third and fourth quarters. Next, we launched our 3 centers of excellence: lead-acid, power electronics and lithium, which are leveraging innovation and best practices across these critical areas to deliver products faster and lower costs. We are already beginning to see ensuing benefits. As an example, our exceptional performance in Energy Systems was bolstered by improved agility from our Power Electronics Center of Excellence. The CoE cut validation time on new components from weeks to days using in-region audits and smarter collaboration. This effort, along with other optimization improvements in our Missouri plants and SIOP helped to support a major communications customer. We delivered a solution within 1 quarter on an initiative that previously could have taken up to 18 months. This is just one instance of how our transformation initiatives are improving execution and accelerating revenue growth. We are also leveraging AI to drive increased efficiency. For example, our lead-acid Center of Excellence has implemented AI-trained inspection cameras and software. This tool enables us to identify defects in battery plates faster and lower scrap rates. We are increasing our rigor around new product introductions and CapEx investments, reallocating resources to focus on higher return opportunities and executing with greater speed. As a data point, our capital spending in the quarter was reduced to 30% to $21 million from $30 million in Q2 '25, even with much of the spend this quarter coming from projects we started last fiscal year. Aligned with our new product road map for lithium technology, we are evaluating our make versus buy options for our lithium cell supply, which includes our planned lithium cell factory. Recent discussions with relevant government officials have been constructive, and we expect to provide an update to you on our new lithium factory plans next quarter. Please turn to Slide 7. In the second quarter, we fully offset the tariffs realized in our P&L through proactive supply chain actions and pricing strategies. As we've previously shared, approximately 22% of our U.S. sourcing is from countries affected by direct tariff costs. Our estimated direct tariff exposure is now some $70 million annualized for fiscal year '26. This has improved from our prior estimate of $94 million as a result of supply chain mitigation activities. While we anticipate ongoing volatility and further policy shifts, we remain confident we will be able to fully offset the impact of tariffs to our P&L. Our task force continues to proactively mitigate direct and indirect exposure of tariffs, enhance supply chain optionality and assess impact on demand. Please turn to Slide 8. Market uncertainty abated somewhat in the quarter. However, our order book does not yet reflect normalized market conditions. We expect that improving macro conditions and increasing clarity on public policy will continue to support more stable dynamics in the coming quarters. Q2 orders [ pared ] back sequentially after strong orders in Q1, which illustrates the dynamic conditions we are currently seeing in the market. In Q2, backlog in Specialty was up, supported by strong demand in A&D. However, backlog was down in Motive Power on a mix of tariff uncertainty and a return to pre-COVID buying patterns, with levels of book and ship business continuing to increase. Energy Systems backlog is stable. In communications, we are seeing more spending on network refreshes than network expansions. We remain encouraged by the opportunities these customers are reviewing to replace large inventories of older equipment out in the field. Data centers continue to be a key growth vector for EnerSys. While deployment timing can vary by project, demand in this market remains strong. As part of our strategy to accelerate our growth, we are focusing on opportunities to leverage our leading lead-acid market share and expand our share of wallet through new product introductions in this segment. The data center market is in the early phase of a multiyear growth cycle driven by the rise of AI and the increasing need for energy resilience. The dynamic geopolitical environment continues to drive an increase in global defense budgets and demand for next-gen power technologies for both tactical and mobile soldier applications. A&D activity in the quarter was robust with visibility to increasing sales for upcoming quarters as the government personnel and spend disruptions settle. Although the Class 8 market remains soft, we saw some improved demand signals in transportation with significant order inflection both sequentially and year-over-year. Please turn to Slide 9. We are proud to have published our fiscal year 2025 sustainability report in October, highlighting how we are delivering measurable energy savings, improving efficiency and reducing costs for EnerSys and our customers. It emphasizes our commitment to communities, operational excellence and our role in supporting global energy resilience. The report reflects the progress we've made and how our sustainability journey aligns with EnerGize, demonstrating how strategic improvements in energy usage, data and systems management drive both efficiency and financial performance. My vision for EnerSys is clear: to embed sustainability, resilience and operational excellence into every part of our enterprise. These principles are not just strategic. They are foundational to delivering long-term value to our customers, communities and shareholders. Please turn to Slide 10. We are excited to announce that we plan to hold our next Investor Day on June 11, 2026, in New York City. We look forward to sharing more details and progress on our strategic road map and longer-term financial targets with you then. In summary, our progress this quarter reflects not only strong execution, but also a shared commitment to continuous improvement and collaboration across the company. We are positioning EnerSys for long-term sustainable success in delivering solutions for our customers and generating value for our shareholders. Now I'll turn it over to Andi to discuss our financial results and outlook in greater detail. Andi?
Andrea Funk: Thanks, Shawn. Please turn to Slide 12. Net sales came in at $951 million, up 8% from prior year and a record high for our second quarter, driven by a 3% positive impact from organic volumes, 3% positive price/mix, a 1% tailwind from FX and a 1% benefit from Bren-Tronics. The sales growth was driven by strength across most of our end markets. We achieved adjusted gross profit of $277 million, up $23 million year-on-year and up $16 million, excluding 45X benefits. Q2 '26 adjusted gross margin of 29.1% was up 70 basis points sequentially and up 40 basis points versus the prior year. Excluding 45X, adjusted gross margin was up 80 basis points sequentially and mostly flat versus the prior year. Our adjusted operating earnings were $130 million in the quarter, up $15 million versus prior year with an adjusted operating margin of 13.6%. We had a $40 million benefit from 45X in the quarter. Excluding those benefits, adjusted operating earnings increased $8 million, or 10% with an adjusted operating margin of 9.5%, up 20 basis points versus the prior year. Adjusted EBITDA was $146 million, an increase of $17 million versus the prior year, while adjusted EBITDA margin was 15.3%, up 70 basis points versus prior year. Adjusted diluted EPS was $2.56 per share, an increase of 21% over prior year. Excluding 45X, it was $1.51 per share, up 15% versus prior year, both representing record highs for our fiscal second quarter. Our Q2 '26 effective tax rate was 10.5% on an as-reported basis and 23% on an as-adjusted basis before the benefit of 45X compared to 19.4% in Q2 '25 and 21.4% in the prior quarter on geographical mix of earnings, which can vary quarter-to-quarter. We expect our full year tax rate on an as-adjusted basis before the benefit of 45X for fiscal year 2026 to be in the range of 20% to 22%. Let me now provide details by segment. Please turn to Slide 13. In the second quarter, Energy Systems revenue increased 14% from prior year to $435 million, primarily driven by stronger volumes, along with favorable price/mix and a slightly positive FX impact. Adjusted operating earnings increased 38% from prior year to $34 million, reflecting the benefits of the increased volume and favorable price/mix. Adjusted operating margin of 7.7% increased 130 basis points versus prior year. As Shawn mentioned, we saw unique wins in this business during the quarter that we expect to normalize next quarter. We remain confident in our margin trajectory with upside from here as data center demand and ongoing communications recovery should allow us to generate operating leverage and higher margins with additional support from our structural cost reductions. Motive Power revenue decreased 2% from prior year to $360 million, as anticipated, with lower volumes from macro headwinds more than offsetting favorable price/mix and FX tailwinds. Motive Power adjusted operating earnings were $48 million, down $10 million versus prior year, primarily on those lower volumes. Adjusted operating margins were 13.3%, down 240 basis points versus the prior year. Maintenance-free product sales increased 14% year-on-year and were 29.9% of Motive Power revenue mix compared to 25.8% in Q2 '25. Looking forward, we expect Motive Power volumes to regain year-over-year growth in the third quarter as the macro settles. We expect lithium sales to make up a bigger portion of this growth, which will temporarily pressure margins on higher cost pass-through from both China tariffs as well as elevated costs, which we will experience until lithium sales reach higher volumes. Longer term, Motive Power is well positioned for growth, supported by electrification, automation and strong demand for our maintenance-free and charger solutions. Specialty revenue increased 16% from prior year to $157 million, largely driven by a 7% increase in organic volumes and a 7% benefit from the Bren-Tronics acquisition as well as a 1% increase from FX and price/mix. We remain impressed by the contributions from Bren-Tronics and the cultural fit between our companies, both of which have surpassed our initial expectations. As we acquired Bren-Tronics in the second quarter of our fiscal '25, the results will be included in our ongoing operations in future quarters. Q2 '26 adjusted operating earnings of $15 million were nearly double that of the prior year when we entered the transportation down cycle. Adjusted operating margin of 9.2% was up 380 basis points. We continue to see the near-term opportunity of margin expansion in specialty, driven by robust A&D demand and ongoing TPPL cost and delivery gains from automation under our lead-acid CoE. Please turn to Slide 14. Operating cash flow of $218 million, offset by CapEx of $21 million, resulted in strong free cash flow of $197 million in the quarter, an increase of $194 million versus the prior year same period. This increase was bolstered by the receipt of our U.S. federal tax refund. Free cash flow conversion in the quarter was 288%. Excluding the benefit of 45X to earnings and cash, free cash flow conversion was still an impressive 196%. Primary operating capital increased slightly to just over $1 billion during the quarter on higher sales, with our working capital efficiency measured internally by primary operating capital as a percentage of annualized sales, improving 120 basis points versus prior year and 130 basis points sequentially. As we invigorate our operating model, we will continue to focus on delivering value from enhanced working capital discipline enabled by our CoEs. As of September 28, 2025, we had $389 million of cash and cash equivalents on hand. Net debt of $842 million represents an increase of approximately $61 million since the end of fiscal '25. Our leverage ratio remains well below our target range at 1.3x EBITDA. Our balance sheet is very strong and positions us to invest in growth and navigate the current economic environment. During this period of heightened geopolitical uncertainty, we anticipate maintaining net leverage at or below the low end of our 2 to 3x target range, providing us with ample dry powder for our capital allocation choices and to absorb any macroeconomic dynamics that may impact us. Please turn to Slide 15. During the second quarter, we repurchased 636,000 shares for $68 million at an average price of under $107 per share. We also paid $10 million in dividends. Since quarter end, we repurchased an additional 325,000 shares for $37 million, leaving approximately $960 million in a buyback authorization as of November 4th. We continue to be opportunistic in our share buyback activity, particularly as market conditions remain volatile. Our buybacks, in addition to the dividend, underscore our long-standing commitment to returning value to our shareholders. We continue to evaluate accretive bolt-on acquisitions such as Bren-Tronics and Rebel, that align with our disciplined strategic and financial criteria and are focused on strengthening customer intimacy, expanding share of wallet with our leading positions in exciting end markets and advancing our transformation progress. Please turn to Slide 16. As we navigate the current environment of mixed end market demand trends, we are optimistic but cautious about the near-term outlook. Year-over-year, our Q3 outlook reflects OpEx improvement from realization of our restructuring efforts, healthy demand in data center and A&D, improvements in Motive Power and relatively flat communications revenue following a particularly strong Q2. For the third quarter of fiscal 2026, we expect net sales in the range of $920 million to $960 million, with adjusted diluted EPS of $2.71 to $2.81 per share, which includes $35 million to $40 million of 45X benefits to cost of sales. Excluding 45X, we expect adjusted diluted EPS of $1.64 to $1.74 per share, up 46% at the midpoint of the range. Our CapEx expectation for the full fiscal 2026 is approximately $80 million. As a reminder, we expect to realize $30 million to $35 million of net savings in fiscal year '26 related to our cost reduction initiatives. While we are pleased with the EnerSys' overall trajectory and are seeing positive momentum across several growth areas, we believe it remains prudent to keep full year quantitative guidance paused due to the dynamic macro environment and its downstream effect on customer buying patterns. That said, we reaffirm our expectation that full year adjusted operating earnings growth, excluding 45X, will outpace revenue growth. We remain confident in the earnings power of our business and our ability to navigate through evolving policy and macroeconomic conditions. With this, let's open it up for questions. Operator?
Operator: [Operator Instructions] And your first question comes from the line of Sherif Elmaghrabi with BTIG.
Sherif Elmaghrabi: When you talk about demand pull-ins and customers shifting their spending as they manage tariffs, can you tell us what end markets are most impacted? And what do you need to see from some of these customers that would give you more long-term visibility?
Shawn O'Connell: Sherif, this is Shawn. I think the big pull-in that we had was in the communications sector. But I don't think it was relative to tariff activity. It was more that customer front-loading their year and opportunity because they were involved in a large acquisition that was going to dominate the second half of their year. So we -- the good news with that is with our centers of excellence, we were able to accommodate them and move very quickly to help them do that. And it provided a little lumpiness in our order book in that front-loading did have a result of a higher Q2. But beyond that, it's not that difficult for us to manage. I will also say in Motive Power, what we're seeing is a restoration of our book and ship business which incidentally was sort of the character of that business for decades where you have a higher percentage of book and ship in the period and a lower percentage of backlog. And as we mentioned in our prepared remarks, [ we're ] started seeing a restoration back to that, which really supports our ability to do quick ship out of our factories. We've spent a lot of time putting that in place. So we don't see a lot of volatility in terms of tariff activity with these pull-ins, as we did in the first quarter. It's more just customers reacting to their localized order demand patterns.
Andrea Funk: And Sherif, if I could just add one comment on to that. Shawn is absolutely correct. But the only other comment I'd make with the tariff environment is our customers, particularly on the large capital spending. So buying motive power forklifts or buying Class 8 trucks, that's where we think there's some, I would call it, hesitation in the market. I don't know if you saw the Hyster-Yale release yesterday, they called out a 4% reduction year-on-year on lower forklift truck volume, and they specifically said from ongoing economic uncertainty dampening customers' bookings over the past several quarters. We feel that also. And fortunately, our business isn't affected as much because we have a diversity of end markets. And also we do the replacement cycle as well as the initial battery in the first truck.
Sherif Elmaghrabi: Got it. And when we think about lithium driving elevated costs, is that about operating leverage as sales ramp? Or is this kind of an interim phenomenon until the new cell plant comes online?
Andrea Funk: Yes. There's actually 2 aspects to that. First of all, obviously, most of the lithium cells right now come from China across the market. So that elevates the cost of lithium batteries in the U.S. in particular. And so we've got that higher cost pass-through, which affects the value proposition. And then we're still in early -- we're ramping up right now, but we're still in early innings. Our lithium battery sales, for example, in the Americas were up 45% in Motive Power. But because we're not yet at full out one, 2 shifts, we're not able to operate at the maximum efficiency that you have when you reach a certain volume level. So even independent of the sourcing of the cells, our pack assembly costs are elevated for the short time until we reach more standardized volumes.
Operator: And your next question comes from the line of Brian Drab with William Blair & Company.
Brian Drab: Could we first just talk about gross margin? And I think you mentioned it somewhat on the call, but the step down somewhat sequentially and like what are the main drivers of that? I think it's some of the absorption issues, Andi, that you just mentioned. But going forward, how should we think about gross margin at least directionally? And are we going to get back to the levels that we saw in the second half of '25?
Andrea Funk: Brian, thanks for the question. Just to clarify, sequentially, we had a pickup in gross margin, both with and without 45X. Are you referring to a specific segment?
Brian Drab: No. I'm probably looking at a model that we're just in the process of updating. But can you just comment on the outlook then, how we should think about gross margin from here?
Andrea Funk: Yes. So we certainly have price/mix improvements happening across all of our lines of businesses, as you saw in this quarter as well. We've got some mix improvements. There's some dynamics segment by segment. For example, we talked about Motive Power, depending on how quickly lithium ramps, that does put some pressure on gross margin because you have higher cost pass-through as with tariffs in general. But there's no reason to not expect ongoing continuous improvement in gross margin similar to what we've been seeing.
Brian Drab: Okay. Got it. Yes. No, I'm looking at updated numbers now. I'm just seeing -- I'm seeing 28.7%. Is that right?
Andrea Funk: So if I look at actual reported gross margin, we're at 29.1% versus 28.4%...
Brian Drab: Adjusted...
Andrea Funk: Adjusted, excluding -- yes, adjusted, maybe that's right. If you exclude 45X, we're at 25% versus 24.1% in Q1. So we look at it both ways.
Brian Drab: Okay. It was just much higher in the second half of fiscal '25 unless I'm really off. And I'm wondering, are we going to get -- with some of the cost cutting and all these initiatives and as the capacity -- as the utilization ramps up, these levels that you saw in the second half of '25, is my main question.
Andrea Funk: Sure. Good point, Brian, because you bring up an important aspect. In Q3 of '25, it was a 33% reported gross margin. But if you recall, we had the 45X electroactive material catch-up that had prior periods in it. If you look at gross margin, excluding 45X, it was at 24.7%. So again, Q2 was at 25%. Q4, we had -- there was a lot of -- it was a great quarter. But of course, we had also mentioned there were a lot of onetime items that wouldn't repeat. That was at 26.7% and was on much higher volume as well. So the 24.7% in Q3 '25 and then we were at 25% last quarter, and 25% this quarter, I think it's a nice, steady trajectory. And the additional tariffs will certainly give a little bit of pressure with the higher cost pass-through. And there's a nice trajectory in front of us. So I think it's a bright spot.
Brian Drab: Okay. And then can you just talk about data center for a second, just how much revenue are you generating in data center? What was the growth rate specifically in data center? And what products are you winning the most with there? And is this including like lead-acid batteries that are being sold in conjunction with generators? Or is it more your stand-alone UPS products? And would love an update there.
Andrea Funk: Sure. I can give some of the numbers and then maybe Shawn can follow-up a little bit with the specific products. As you know, in data centers, it is mostly lead-acid and some UPS systems that we have right now with, again, work underway, with Mark leading our engineering efforts for some new product introductions, which we're excited about. That's not yet in the current quarter. Current quarter data centers year-on-year were up 29%. And in the first quarter, they were up 14%. So obviously, it really continues to be a bright spot for us with a lot of opportunities going forward. And Shawn, I don't know if you have anything to add.
Shawn O'Connell: Yes. I would just say -- I would say, you have the same thing occurring in the data center environment that we have in Motive and other places and that our TPPL products are resonating very well. We have a leading lead-acid market share that is quite compelling. So most of the products, to Andi's point, are like our HX product line that is valve-regulated technology. And then TPPL is growing at a similar CAGR to what you would have seen in Motive Power and NexSys. And then to Andi's point, I just want to give a little shout out to Mark Matthews. We have a very commercially minded CTO, who's also a lithium expert. And today, the business that he comes from, A&D, we deal in 9 chemistries of lithium, very advanced technological applications. And so Mark's applying that knowledge. Also, our lithium CoE is moving so much faster than it ever has. And he's quickly -- we have some -- we will update you in future quarters on some NPI activity, that's very encouraging to expand that lead-acid market share into other products like lithium. But today, it's lead-acid.
Operator: And your next question comes from the line of Chip Moore with ROTH Capital Partners.
Alfred Moore: I want to ask -- on communications outside of that large customer that was front-loading, just maybe you can speak to what you're seeing in that end market in terms of less break and fix, but more network build-out and some pull-through on power electronics? It sounds like you think margins should go higher from here, but just any more color?
Shawn O'Connell: Yes, Chip, I didn't want to over-index on the pull-in there. The pull-in is just a good sign of what's going on. And the reason for the pull-in, we talked in the prepared remarks about network refresh. And what I'd like to point out is with all of the rise in data and data that -- whether it's the AI or other use cases, the overall aggregate volume of data that has to move around the planet is increasing. And so when we talk about network refresh, it isn't just about updating aged equipment. It's about putting equipment in that can handle the traffic and handle the increase in data traffic. And when we do that, it's also -- that equipment tends to be more power hungry and require more advanced solutions. So I would tell you that we're seeing fairly encouraging demand signals across that marketplace. And while it may not be the 2G or 3G or 4G consistent build-out that we've seen in the past, what we see is users sort of picking -- our customers picking their spots and how they're going to participate in that next evolution in demand. So I would tell you, it's very good. It's not a -- we're seeing singles and doubles. We're not seeing network build that I would call the home run. But again, very encouraging demand signals across communications.
Alfred Moore: Great. Very, very helpful color. If I could ask one more, probably more specialty A&D, but just the government shutdown is -- any impacts there or any risks as we look forward? And it doesn't sound like it, but I'd be curious to get your thoughts.
Shawn O'Connell: Yes. I would tell you that we've had -- it's sort of a mixed bag. We've had good discussions with our government counterparts relative to our lithium plant and the DOE folks seem to be in the office and working. On the other hand, we saw some of the impacts of the shutdown are main defense type warehouses that aren't as active. But generally, across the board, I'll tell you that the impact has not been substantial. And we're seeing just extraordinary activity in what Andi mentioned the Bren-Tronics folks and how pleased we are with that acquisition. They're doing a great job. They're seeing quite a bit of demand. And then I'll also tell you, we have -- because of our technology position in thermal batteries -- there's only about 3 companies in the U.S. that make thermal batteries, and we have a leading position in advanced technology for thermals. And we're just seeing excellent demand signals across about 12 programs. And what those -- just so you can conceptualize what that is, those are the types of batteries that are used for all -- when you hear talk about hypersonics and advanced defense applications, it's being powered by EnerSys lithium cobalt technology. And so we're very encouraged by that. So I would tell you, overall, A&D demand for us in spite of the lumpiness and the shutdown looks very good.
Operator: And your next question comes from the line of Noah Kaye with Oppenheimer.
Noah Kaye: So it seems like restructuring benefits starting to hit their run rate here, some additional levers being pulled as well on productivity and just overall increased focus on thoughtful resource allocation. So as we think about how that translates to operating margins, what's sort of a fair way to think about the trend in Energy Systems and kind of overall operating margins, even on a sequential basis for what's implied for 3Q, but just sort of directionally, where should they be heading?
Shawn O'Connell: Well, I'll start, and I'll give it to Andi to talk more specifically on numbers. But I would tell you that what we're seeing in the CoE realignment is that we have a target-rich environment to continue to work on our costs and gain efficiencies. There's a lot of positive momentum in Keith's business in Energy Systems. I will tell you that they have more opportunities to continue to increase their efficiency there. So we're going to stay on that path. And one of the reasons we're excited to have Keith join us is just because he has that strong operator background, and you're seeing it in the numbers. But we continue that -- we fully expect that trend to continue. And then what I'll also tell you, along the lines of the CoEs, I've been making a concerted effort to get down to Missouri once a month personally and work with the team and walk the factory floor there. And every one of our metrics is improving from OEE to decreasing scrap rates to increased productivity. So the team is doing a fantastic job. You're seeing the evidence of the focus that people aren't too spread thin. They can specialize focus on doing what matters, and that's our bread and butter. So again, we expect that those efficiencies continue. It's early days. We're very encouraged. Andi, do you want to add to that?
Andrea Funk: Yes. Thanks, Shawn. As we said on the last call, we had expected that Q1 would be the low point of the year. And in fact, with our dramatic improvement in Q2, that just demonstrates that. Obviously, Q-on-Q adjusted EPS, excluding 45X, was up $0.41 or 37%. Our underlying business is really good. It's actually more compelling than we would have even said a quarter ago. We anticipate full year AOE growth, excluding 45X, will continue to outpace revenue, which obviously implies, Noah, that we'll continue to have margin expansion. I'll give you a little bit of color for each one of the segments of what we're expecting. But as a reminder, our cost reduction program, which was $80 million, $70 million of OpEx and $10 million of manufacturing will start kicking in more. We had a couple of million dollars this quarter, but it's really going to start ramping up in Q3 and Q4. Energy Systems, we're on the path to continuing to improve the margins there. Cost actions have been taken, and there's more work that's central to the strategy. We're seeing steady volume growth for data centers. The comms network refresh is continuing. And while we don't think that might happen this year, but we're confident a build-out has to happen to be able to get all of that AI data delivered into users' hands like you and I. So we think that's going to be more at a measured pace, but ongoing. And the services area is also a key focus for us and has been improving. And Motive Power, as we mentioned, market conditions, hesitant is probably the best word to describe it. But from a positive standpoint, maintenance-free conversions are going great, although lithium might be a little bit of a headwind on margins in the near term. Our soft book-to-bill is a little bit of a concern, I'll be honest. We're not sure how much of that is return to pre-COVID buying patterns versus just this hesitancy that we're talking about. So we're keeping an eye on it. But if you recall, longer term, we've got the Monterrey closure happening next year. We've got our new TPPL and lithium offerings coming online, new chargers, the BESS on the horizon. So we feel really good longer term. And if you look at some of the industry data on Motive Power, I think what you're seeing is very consistent with what we're seeing as well, a little bit of hesitation near term, but no concerns longer term for that business. Specialty, not unreasonable to expect double-digit AOE by next quarter and beyond as our A&D business continues to gain strength. The aftermarket and transportation is starting to pick up, right, from a low starting point. The lead CoE is driving cost improvements, that Shawn mentioned when he's visiting Missouri, it's going well through the automation. And then just as clarity, we don't expect Class 8 to pick back up this year yet. So, I think generally speaking, I'd say the margin improvement, bottom line you saw this quarter is not unreasonable to expect that same level on an ongoing quarterly sequential basis near term.
Noah Kaye: That's perfect and comprehensive color. And I'm glad you mentioned the Class 8 aftermarket, which is something that we thought of as a great growth lever for the company and kind of watching for inflection. It sounds like you do expect some growth even this quarter. Maybe just frame up for us where that business stands now? What's sort of driving now improved traction? Any way to think about magnitude of contribution, how meaningful a growth driver this can be?
Andrea Funk: Yes. No, we don't give -- we don't specifically guide down to those -- that seg markets. But I will say that we -- the aftermarket business is picking up double-digit. It's just off a slow starting point, and some of that's being offset by the OEMs. But if you look in the aggregate for Specialty, we did have some nice order books for our transportation. Q3 orders sequentially were up 26% and 20% year-on-year. Again, a lot of that is coming from the aftermarket. But you have to remember, it's coming off a low base. So it's not an area that we're -- we expect is going to make a meaningful movement to our bottom line numbers in the short-term. Manufacturing improvement is helping that as well. And the lead CoE will also help us with, I think, more success in transportation longer term.
Shawn O'Connell: Yes. And I think Andi mentioned it earlier, and it's just something to just sort of, I think, repeat a bit. If you think of new trucks in Class 8, if the new trucks aren't being built at the same rate, then fleet operators are going to have to do more to keep old trucks on the road or existing fleets on the road, and that bodes well for us. So just like in the forklifts, Andi mentioned that if you're looking at material handling order rates for new trucks, it's more suppressed than we are because we have the replacement and the ability to help them keep those fleets in the warehouse and fleets on the road. So we -- that's part of our -- this renewable component of battery where we'll get a second bite or third bite at the apple with the fleet that -- when new trucks aren't being sold. So I think that's a piece of it.
Noah Kaye: Okay. Perfect. If I could sneak one more in. Just outstanding cash generation this quarter, even exclusive of the tax refund, leverage back down to 1.3x. A lot of dry powder for that buyback. Just how are you thinking about repurchase activity here? And maybe kind of update us on your M&A opportunity set as well?
Andrea Funk: Yes, sure. Thanks, Noah. We are really pleased with the cash flow generation. And I will say that's an area with invigorating our operating model that we are being intentionally more disciplined and focused on as a management team. So I'm very excited about the outcome of the effort that we've had. So it's a $1 billion buyback, we intend to continuing buying back stock. It's part of our ongoing basis. We generate a lot of cash, and we're committed to returning value to our shareholders. And I would say in periods of dislocation between our stock price and intrinsic value, which we believe is the case now, we're going to continue to buy back at elevated levels. We do want to keep a portion of our available capital capacity to be opportunistic with M&A activities. M&A will continue to be part of our growth strategy going forward. But we don't have anything specific to announce right now. Shawn, I don't know if you want to add any color to that?
Shawn O'Connell: Yes, I would just say generally, we -- with all of the focus on operating rigor, I want to make sure we're not giving the impression that we're not going to deploy capital. We're just going to deploy it for high-quality investment opportunities. We have a few M&A opportunities in the pipeline that we think are compelling. But again, for us, it's going to be free cash flow margin and increasing free cash flow margin and then deploying that for the right ROIC, and we're going to stay opportunistic. So I think you can expect us to deploy that discipline and rigor to those opportunities. But definitely, we're going to put that cash to work. And to Andi's point, whether that's buying our own shares when they're undervalued or investing internally in our business for the right opportunities and certainly M&A.
Operator: There's no further questions at this time. I will now turn the call back over to Shawn O'Connell for closing remarks. Shawn?
Shawn O'Connell: Thank you, Mark. I'd like to thank everybody for joining us on the call today. We look forward to updating you again next quarter. Hope you have a great day.
Operator: That concludes today's call. You may now disconnect.